Vincent Warnery: Good morning, everyone, and thank you for joining us for our full year 2025 results conference. I'm pleased to present an overview of our performance, together with Astrid, who will later provide a detailed financial review. But before we begin, I want to touch on the situation in the Middle East. In situations like this, the safety of our employees and their families is our highest priority. Teams are in place in the regions to offer assistance and support on the ground, and we are in close communication with them. Given the volatility of the situation, it is too early to assess any potential impact on our business. We hope for a peaceful solution soon. Let me now turn to our full year 2025 results. 2025 was a year that demanded a lot from us. Economic and geopolitical uncertainties, shifting consumer behavior and continued trade disruptions negatively affected market dynamics. Skin care market growth slowed to levels not seen in recent history, with particularly strong effects in the emerging markets region. These conditions shaped and challenge our performance more than anticipated at the start of the year. Even so, we continue to make progress in several important areas and where we fell short, we took immediate action. At the same time, 2025 showed that the core elements of our strategy remain effective. Our focus on science-based innovation, our global footprint and expansion into new markets, our culture of care and responsibility. This provided important stability throughout the year. In a challenging market environment, we were able to maintain our position as the best-performing skin care company globally for the third year in a row. Once again, our Derma business was an undisputed success, driven by innovation, white space expansion and strong scientific credibility. La Prairie showed initial signs of improvement towards the end of the year, but the recovery remains fragile in a volatile luxury market and disruptions in the retail landscape negatively impact Q1 2026. And while our skin care focus strategy has delivered on many fronts, the most recent performance of NIVEA requires a strategic rebalancing. We have taken decisive actions, laying the foundation for restoring momentum and returning our business to a more attractive and profitable growth trajectory. In 2025, the global skin care market slowed significantly, decelerating from mid-single-digit growth in 2024 to around 1.5% to 2%. This slowdown intensified as the year progressed and was particularly visible in regions that have driven strong growth in previous years, including Eastern Europe and emerging markets. Pricing normalized after inflation-driven increases, geopolitical tensions influenced consumer sentiment and consumers became more cautious and increasingly selective in their routines. While Beiersdorf was affected by this market slowdown in 2025 and continues to feel its impact in 2026, we were still able to deliver solid growth in a significantly more challenging environment. NIVEA ended the year with an organic sales growth of 0.9%, reflecting the impact of weaker market dynamics, a repositioning of our business in China as well as a back-end loaded innovation pipeline. Our Derma business delivered double-digit growth for the fifth year in a row, supported by breakthrough innovations and successful expansion into white spaces. Our Health Care business continued to perform strongly, with close to double-digit growth, providing further evidence for our innovation-driven strategy. At La Prairie, organic sales declined by 4.5% in 2025. The performance improved quarter after quarter, but market conditions remain volatile. Tesa delivered moderate growth of almost 2%, driven by a strong performance in the electronics business. Altogether, our skin care business grew by 3.7%, clearly ahead of the market. Once again, we outperformed our key competitors in this segment and remained the best-performing skin care company globally. This performance underscores the strength of our skin care expertise and its ability to deliver sustained outperformance. Let's dive a little deeper into our Derma business. The undisputable success story of our Derma brands Eucerin and Aquaphor continued in 2025. Net sales reached a record EUR 1.5 billion, approaching close to 20% of consumer net sales, supported by continuous market share gains in a market growing only at low single-digit rates. In Q4, facing a tough comparison with the Epicelline launch in the prior year, Derma still grew by nearly 10%. Derma growth in 2025 was broad-based across all regions. In Europe, our home market, Derma delivered an impressive 8.3% organic sales growth as Epicelline continued to drive the performance. In North America, our largest Derma market, we grew by nearly 9%, an outstanding results driven by Face Care and Radiant Tone, our Thiamidol product in the U.S. In emerging markets, at 16.3% organic sales growth, Thailand, Mexico and Brazil were the key performance drivers. In addition, India, domestic China and Japan were important white spaces that we expanded into. We also continue to outperform competition. This is a testament to the success of our science-based growth strategy of launching breakthrough innovations and successfully expanding into white space opportunities. Our innovation, our hero ingredients, Thiamidol and Epicelline are continuing their success stories. Thiamidol, in its eighth year, continued to grow at double-digit rates. In early 2025, we launched it in the U.S. and later in the year, we brought this innovation to the domestic Chinese market. Epicelline, our anti-aging breakthrough ingredient continued its successful rollout across Europe and in emerging markets. Our Derma innovation pipeline remains strong and sets industry standards. The entry into white spaces has unlocked new growth opportunities for industry. Let me share a few examples. In India, Eucerin's launch generated strong momentum. It was one of the first global dermocosmetics brands to enter the market and quickly became a top dermatologist recommendation. In China, following regulatory approval, Eucerin's Thiamidol serum was launched on the domestic market and has become the #1 derma anti-pigment serum. And in Japan, we introduced Eucerin, marking another important milestone. As the world's third largest cosmetics market, expectations for quality and innovation are extremely high. For this debut, we developed a premium anti-aging line, tailored to local consumer needs. Our Health Care brands, Hansaplast and Elastoplast delivered one of the strongest years in history with organic sales growth of more than 9%. The launch of our Second Skin Plus Protection plaster illustrates how we continue to drive innovation even in mature categories. This advanced technology offers superior healing and protection. It is setting a new benchmark in wound care and resonates strongly with consumers. We continue to invest in research and development to reinforce our leadership in this segment with new innovations coming soon. NIVEA faced a particularly challenging year, navigating difficult market conditions and delivering growth below our initial expectations. There were 3 key factors behind this development. First, the market slowdown was more severe than we expected. Second, we completed a comprehensive repositioning of our business in China, which temporarily affected our performance negatively. And third, most of our major innovations were scheduled for the second half of the year, which limited momentum early on. In 2025, the mass market for skin and personal care products slowed significantly. The decline was most notable in emerging markets, where value growth rates more than half versus 2024 and further deteriorated throughout the year with volume growth turning negative in Q4. Skin and personal care were most effective than other beauty categories. This had a direct impact on NIVEA's performance over the year. The speed and scale of the market downturn exceeded our initial assumptions, requiring adjustment to our guidance during the year. In China, we successfully completed a fundamental repositioning of NIVEA to prepare the brand for long-term success in this key market. Our strategy in China is clear. We aim to win through innovation in skin care. Therefore, we shift our focus away from price-sensitive personal care categories and partners, prioritizing premium skin care and accelerating growth through digital-first channels. This involved streamlining our portfolio, optimizing distribution and tailoring innovation to local consumer needs. These measures were completed by the end of third quarter and NIVEA is now better positioned to compete in China's dynamic market and capture future opportunities. Subsequently, we launched Thiamidol under NIVEA in the domestic Chinese market, leading to impressive double-digit growth rates of NIVEA in the fourth quarter. Our innovation pipeline in 2025 was strong but the major launches were concentrated late in the year. As a result, the contribution for innovation to our full year performance was limited, particularly in the first half. The rollout of breakthrough innovations such as Epicelline began to contribute in the latter part of the year, especially in Q4. In 2025, we launched Epicelline on the mass market. Our NIVEA Cellular epigenetic serum represented the strongest NIVEA face care rollout in our history. The selling performance has been strong and in line with our expectations, reflecting robust retailer demand and effective distribution. We also saw very good sellout momentum. The product quickly reached #1 positions at leading retailers and continues to be the #1 serum across Europe. Reliable data and consumer repurchase rate is not yet available, given the recent launch. This will be a key metric to monitor in the coming months to assess long-term consumer loyalty and the sustained performance of Epicelline in the mass market. Our Luxury brand, La Prairie represents a smaller share of our business, but it remains a strategically important part of our portfolio. The full year remained below 2024 levels. But as we had expected, the business showed a sequential improvement quarter-over-quarter, growing plus 3.8% in Q4. This was mainly driven by more favorable deployments in China, particularly in e-commerce. At the same time, the luxury market remains highly volatile with persistent weakness in the U.S. and in travel retail markets. Ongoing disruptions in the U.S. department store landscape as well as travel retail in China are expected to negatively impact our performance in the first year of 2026. With that, let me hand over to Astrid to walk you through tesa and our financials.
Astrid Hermann: Thank you, Vincent, and good morning from my side as well. Let me start with the performance of our tesa business. In 2025, tesa delivered organic sales growth of 1.8% in a challenging global economic environment, characterized by tariff disruptions and ongoing challenges in the automotive industry. Within our industry segment, electronics was again the main growth driver, with particularly strong results in Greater China and Asia Pacific. The product ranges from mounting front and back modules, solutions for battery bonding and conductive tapes were further developed and converted into customer-specific solutions. The automotive business closed the year broadly in line with the prior year. Ongoing volatility in Europe and North America continued to weigh on the performance, while China and Latin America delivered growth supported by successful customer projects. Printing and Packaging Solutions also recorded year-on-year growth. The performance was driven by expanded activities in splicing tapes and flexographic printing, with notable contributions from North and Latin America and continued positive development in China. Finally, the Consumer segment delivered growth despite a challenging market environment, especially in Europe. E-commerce showed strong year-on-year development and made a meaningful contribution to the overall result. Let me now walk you through our 2025 financial performance. Overall, we delivered a stable performance in a challenging market environment with organic sales growth of 2.4%. We also made further progress on our profitability. Our EBIT margin increased to 14.0%, up 10 basis points versus last year, reflecting continued cost discipline and ongoing operational improvements. Earnings per share increased to EUR 4.25, up 4.9% compared to 2024, driven by improvements in our profitability and our tax rate. This outcome underlines the financial stability of our business in a year marked by significant external pressures. These results provide a strong foundation as we recalibrate our NIVEA strategy, continue to innovate and drive sustainable long-term growth. Let's now turn to the segment level performance. In 2025, Beiersdorf Consumer business net sales grew to EUR 8.176 billion at an organic growth rate of 2.5%. Adverse foreign exchange effects, including a softer U.S. dollar resulted in a lower nominal growth of 0.02%. Profitability improved with EBIT, excluding special factors, growing to EUR 1.108 billion, a 20 basis points margin increase driven by disciplined cost management despite cost pressures on our gross margin. Our tesa business recorded organic growth of 1.8% during the same period, closing the year with net sales of EUR 1.676 billion. Due to unfavorable foreign exchange effects, nominal sales slightly declined by negative 0.7%. The EBIT margin, excluding special factors, was 16.1%, in line with our guidance. Now let's take a closer look at our performance across the different regions. In Western Europe, we achieved robust organic sales growth of 1.8%, particularly in key markets like the U.K., Italy and Spain. As always, it is important to highlight that our luxury travel business is also included in this region and had a negative impact of nearly 100 basis points. Our business in Eastern Europe declined by 2.3%, driven by softer markets and overexposure to personal care, retailer disruptions as well as intensified competition with local brands, particularly in our key market, Poland. The Americas regions closed the year with sales growth of 3.1%. This good performance was largely attributable to the outstanding results of our Derma brands in the United States and in Canada at high single-digit growth rates as well as the continued strong growth of NIVEA in Canada. At the same time, Latin America experienced a notable slowdown, particularly in the Personal Care segment. As a result, our softer NIVEA sales in key markets such as Brazil and Argentina, weighed on our overall regional performance, while Derma sales grew at double-digit rates. The Africa, Asia, Australia region recorded 4.5% organic sales growth. India was the most important positive contributor to this growth next to Japan. Our NIVEA repositioning activities in China negatively impacted this region in the first 9 months of 2025. Following the successful completion of our repositioning activities, China contributed significantly to increasing the region's organic sales growth to 9.3% in the fourth quarter. Now let's take a look at the development of our consumer gross margin. Our Consumer gross margin decreased by 70 basis points year-on-year from 61.0% in 2024 to 60.3% in 2025. Pricing contributed positively, adding 30 basis points, underscoring the continued strength of our brands and our ability to partly offset cost inflation despite a more moderate pricing environment. Increased costs driven by higher raw material prices and limited volume growth weighed on our gross margin. Mix effects positively contributed 40 basis points, primarily driven by the continued outperformance of our Derma business. Lastly, unfavorable foreign exchange effects contributed minus 50 basis points. Let me conclude our financial overview by highlighting the key elements of our group income statement for the year. Our group's net sales grew slightly to EUR 9.852 billion in 2025. Our group gross margin declined to 57.7% with tesa experiencing similar cost and foreign exchange pressures as our consumer business. Our marketing and selling expenses remained roughly at the previous year's level, reflecting a slight increase in the Consumer and a slight decrease in the tesa business. We continue to drive strong support for our brands with consumer-facing activities, which we were able to increase in 2025, while also driving effectiveness and efficiency of our marketing expense. As in previous years, we have taken the decision to continue to increase our R&D spending, reflecting a strong commitment to fostering breakthrough innovations that will shape our future. At the same time, we maintained a disciplined approach to our general and administrative costs, leading to a reduction of these expenses in 2025. Our EBIT, excluding special factors, grew to EUR 1.378 billion, a 10 basis points EBIT margin increase in line with our guidance. Lower special factors as well as an improved effective tax rate were additional drivers to increase our profit after tax to EUR 955 million or EUR 4.25 per share, a EUR 0.20 increase compared to 2024. Back to you, Vincent.
Vincent Warnery: Thank you, Astrid. After 5 years in our roles, this is the right moment to take a closer look at what has driven our performance and how effective our strategy has been. Over the past 5 years, we increased net sales by almost 30%, reaching a level of EUR 9.9 billion in 2025. Despite the slowdown in 2025, we continue to be the best-performing skin care company, outgrowing our key competitors in this important category. EBIT, excluding special factors, also improved significantly by almost 40%, a clear proof of our commitment to profitable growth. Our top line outperformance was fueled by 3 key pillars: First, breakthrough innovations. Science-based research and development are at the heart of what we do. Second, successful expansion into white spaces, both in terms of categories and markets. And third, a strong and growing e-commerce business. We have been growing double digit in e-commerce for more than 5 years in a row and gaining market share. In 2025, we generated 17% of our net sales online. Let's start with innovation. One of the clearest examples is Thiamidol. This highly effective ingredient has been cascaded across our brands and markets, the latest additions being Chantecaille as well as the U.S. and China. Since I started at Beiersdorf, we have turned the Thiamidol franchise into a EUR 500 million business. We are continuing to grow double digit and are gaining market share again, supported by high recognition of the ingredient in the scientific community. Thiamidol was validated by a scientific consensus of 10 world-leading dermatologists as the only dermocosmetics solution for the management of hyperpigmentation. Another breakthrough innovation is Epicelline, a game changer in anti-age, and while everybody speaks about longevity, our epigenetics technology already provides a solution. After its success in the Derma segment, we launched Epicelline to the mass market through NIVEA. This reflects the same principle as Thiamidol, developing highly effective ingredients based on strong science and systematically making them accessible across brands and markets. Microbiome research at S-Biomedic is the next frontier of our innovation pipeline. What started as a venture capital investment and R&D partnership several years ago has turned into the development of a breakthrough microbiome innovation for acne-prone skin. We developed PROBIOM8 to correct blemishes from acne-prone skin using the first-ever skin-native probiotics. With significant results proven in clinical studies, it is planned to be launched under Eucerin DERMOPURE CLINICAL in the second half of this year. Evaluated by hundreds of dermatologists and tested on thousands of consumers, PROBIOM8 significantly improves acne-prone skin with no side effects. More to come later this year, stay tuned. Turning to the second pillar of our strategy, expansion into white spaces. We have focused on the defined set of key markets and made strong progress in the U.S., Brazil, India, China and Japan. Let me briefly zoom in on the U.S., Brazil and India. In all 3 markets, our white space strategy has translated into measurable progress. In the U.S., we launched Eucerin Sun followed by Eucerin Face and introduced Thiamidol in 2025. This strengthened our foothold in one of the world's most competitive dermatological skin care markets. Our Consumer business in North America has reached EUR 1 billion. In Brazil, Eucerin advanced from a niche positioning to one of the leading players in the market. Within just 5 years, we managed to move from #15 in the market to a #4 position. And India remains a clear success story for us. While we been present in India with NIVEA and our Health Care business for a long time, we managed to more than double our business within the last 5 years. This was driven by outstanding performance of NIVEA as well as the launch of our full skin care portfolio, including Eucerin, La Prairie and Chantecaille. Our Derma business has fully delivered on our strategy. Since 2021, we almost doubled our business, reaching sales of EUR 1.5 billion in 2025. Even in the slowing Derma market last year, our Eucerin and Aquaphor brands demonstrated double-digit growth. Also, NIVEA, the largest skin care brand in the world grew by an impressive 34% over the last 5 years. We succeeded in regaining credibility in face care through Thiamidol and Epicelline. However, the required investment has not allowed us to maintain the right advertising focus on other categories. And through our exclusive global innovation program, we lost some momentum on core local ranges in some key countries. As a result, we were not able to outperform the market to the same extent as in prior years, and NIVEA's growth slowed significantly in 2025. We have, therefore, taken decisive action to recalibrate our strategy for NIVEA to restore the brand's growth trajectory, which is a key priority for '26 and 2027. What exactly does this recalibration mean? We are rebalancing our NIVEA strategy along 3 pillars. First, we are broadening our focus by strengthening categories next to face care, such as deodorants and body care. So going next to major global franchises, we'll support important local product lines by giving key markets such as China, the U.S., India, Japan and Brazil, greater flexibility in local execution. And third, we are putting more effort behind accessible face care products. Let me dive a little deeper into each of the pillars. NIVEA already has a strong foundation in categories such as deodorant and body care. Building on this base, we are shifting parts of our investment in R&D, marketing and new launches in these categories. By broadening our range, we are strengthening NIVEA's position across a wider set of segments and creating additional growth opportunities. In recent years, NIVEA focused strongly on global launches and centralized campaigns. Going forward, we'll continue to rely on growth innovation platforms and hero ingredients as a foundation, but give local teams greater freedom to tailor launches, products and marketing to local needs and push key local franchises. One example is LUMINOUS Glow, a successful innovation for Emerging Markets. Another one is NIVEA Facial, a key face care line in Brazil that we launched in other markets as well. Lastly, we rebalance the focus also to popular face care products at a more accessible price range next to the premium face care lines like LUMINOUS and Epicelline. NIVEA remains an iconic yet accessible brand. Our portfolio deliberately spans from everyday essentials to premium innovations. And as you know, the vast majority of our portfolio is priced at very accessible levels. The rebalancing of the NIVEA is underway. In the fourth quarter of 2025, we initiated a shift in our advertising and promotional spending, reallocating resources to support a broader range of categories and local initiatives. This marked the first step in the rebalancing process. In 2026 and beyond, we are implementing a set of pipeline measures to strengthen our innovation road map. This includes breakthrough ingredient line extension on the one hand, and broader launches across categories on the other. We are fostering fast-track execution of innovation to meet current trends, and allowing for certain regional innovation tailored to local consumer needs. These measures will take some time to show their full impact. We are confident in our ability to return NIVEA to sustain growth, and will report on our progress in each of the coming quarters. So let me turn to the outlook for our business. We own and manage some of the most iconic skin care brands in the world and operate in the highly attractive skin care market, the largest category in the beauty space. Over decades, this market has demonstrated strong resilience and a consistent ability to recover within 1 or 2 years after periods of slowdown or decline. Our well-established and trusted brands together with our Win With Care strategy, provide a strong foundation to navigate the current market environment and to deliver sustained long-term growth. Let us now look at our midterm guidance. In an evolving market environment, our focus remains firmly on outperforming the market. We'll do so by continuing to expand into white spaces, launching breakthrough innovations and responding dynamically to changing market conditions. A key priority will be to return NIVEA to an elevated growth trajectory through a clear action plan and targeted measures as part of our strategic rebalancing. On top of that, the use of our cash position to pursue inorganic growth opportunities remains an important element of our strategy and should provide additional upside. We also remain committed to profitable growth in the midterm, which translates into growing EBIT at least as fast as net sales. We are convinced of the continued EBIT margin expansion potential for our business. In light of the global market dynamics, we will not quote a specific number. We'll have to be flexible to respond to market conditions and will not sacrifice long-term value creation opportunities for short-term margin gains. While the use of cash for inorganic growth remains a core element of our capital allocation strategy, we have also strengthened our commitment to returning cash to shareholders. This is reflected in enhanced cash distribution through share buybacks and dividends. As a next step within this framework, we are continuing to strengthen shareholder returns. The Executive and Supervisory Boards of Beiersdorf propose that the dividend for the 2025 financial year is confirmed at EUR 1 per share. The proposal will be submitted to the Annual General Meeting on April 23. Following the successful share buyback programs in 2024 and 2025, Beiersdorf will initiate a further share buyback program valued at up to EUR 750 million over a period of 2 years. While we remain very confident in our profitable growth prospects over the mid and long term, it is important to acknowledge that market dynamics has not improved at the start of this year. We saw a clear slowdown over the course of last year, and the softer environment has continued into early 2026 without clear signs of a near-term recovery. And while we have initiated our NIVEA rebalancing strategy, the measures will take some time to become fully visible. In parallel, the luxury skin care market remains volatile. And while improvements were visible in China in 2025, severe disruptions in the U.S. department store landscape and travel retail in China negatively impact the current performance. We view these disruptions, especially in China, travel retail, as temporarily and not a full reflection of the underlying consumer demand. Nevertheless, they will have a noticeable negative effect on our Q1 luxury performance. Let us turn to our guidance for 2026. Against a continued challenging and volatile market environment, we expect sales to be flat to slightly growing organically across our business segments. This applies to both the Consumer and tesa segments as well as at group level. We still expect to be able to outperform the market as demonstrated in previous years. The first quarter of 2026 is expected to land below this range at a low single-digit negative organic growth rate. While Derma is expecting to deliver another strong quarter, NIVEA's innovation momentum that positively affected Q4 2025 is less impactful this quarter. In addition, the disruptions in U.S. retail and China travel retail landscape we put significant pressure on the luxury brands in Q1. On profitability, we expect the EBIT margin, excluding special factors in Consumer, tesa and for the group to be coming slightly below the 2025 level. This is driven by raw material cost increases, unfavorable FX and only limited fixed cost leverage on gross margin. At the same time, we'll not decrease our marketing spend proportionally as we want to ensure sufficient investment behind our brands. This concludes our full presentation, and we are looking forward to your questions. Over to you, Christopher, for the Q&A.
Christopher Sheldon: [Operator Instructions] And we will start with Callum Elliott of Bernstein.
Callum Elliott: Hopefully, you can hear me. So my first question is on the strategic rebalance, specifically, the increased support and spending that you were talking about behind deodorants, body care, local product lines. Is that incrementing -- incremental spending vessel or just a reallocation of resources away from face care? And can you talk a bit more about when you expect to see the benefits of some of that rebalance? And then my second question, please, is on cash conversion. You guys have the weakest cash conversion of all large cap global consumer staples companies. and it gets worse this year in 2025. I understand that there's part of this driven by strategic decisions around CapEx, et cetera, but on more executional pieces like working capital, again, we see you getting worse this year, working capital now over 10% of sales. So my question probably more for Astrid, is this cash conversion a strategic focus for you at all? And if yes, when should we expect to see improvement? And if no, why not?
Vincent Warnery: Thank you, Callum. So I will take the first question. Obviously, the focus that we had on premium face care was very expensive in media. This is by far the most expensive skin care category. So what we are doing is simply to reallocate part of the spendings from premium face care into body and deo and affordable skin care. The good news is that on those categories, they are much less media intensive. So we can really develop strongly those businesses with an amount of working media and amount of promotion, which is much below what we are currently spending on the NIVEA premium face care. Second question?
Astrid Hermann: Yes. So Callum, to your question related to cash conversion, yes, it was not where we were hoping it to be this last year. There were some impacts that were related to some aging tax payment that we've made to stop the clock there, but are absolutely looking to recover. We also had, obviously, given the very backloaded Q4, some impact, obviously, on working capital. We also had some higher inventory than we would have liked to, but we are looking to improve that. And I can promise you that it is a focus for us as a company, and we're looking to make progress in 2026.
Christopher Sheldon: And then the next one on the line is Celine Pannuti of JPMorgan.
Celine Pannuti: So I wanted to first come back on the guidance for the year. Low single-digit negative, you said for Q1. So you mentioned the impact from the department store and travel retail. Is it possible to give us a bit of an idea of how much double-digit down will La Prairie be in Q1? And likewise, NIVEA, I would expect still it to be as well negative. Would that be the case in Q1? And does it mean that the rest of the year, you expect it to be up low single digits or thereabout? And how do we think about this when you have a tough comp in the second half? My second question is on NIVEA, because Vincent, you are recalibrating the strategy. I was nevertheless surprised that we don't get more innovation benefit. You said that the innovation benefit in '25 was really hitting at Q4. And why don't we get that innovation benefit in H1? I appreciate you don't have the data from the repurchase rate, but like it feels like the innovation doesn't have a lasting impact. So what visibility do you have on this? And if you could also explain the -- you give more freedom to local markets to adapt. I understood when you came 4, 5 years ago that probably there was too much freedom. So can you come back and explain what's different when -- in the recalibration you're making? Sorry for long questions.
Vincent Warnery: Thank you, Celine. On your first question on the Q1 2026, I think we are -- obviously, we are very optimistic regarding Derma, and this is clearly the driving force of Beiersdorf. It has been, it will be. On NIVEA and La Prairie, we have 2 different phenomena. On NIVEA first, Q4 was clearly a quarter of selling because we have tesa, as you remember. From September, this is where we had most of the innovation. So we have done a good quarter with NIVEA, but now we have to sell out the innovation. We don't have new selling innovation coming in Q1, it's more Q2. So it's about absorbing the volumes, being sure that we drive the sellout. The good news that the first market share is positive. That's encouraging, but this is what will happen in the Q1. On La Prairie, it's a bit specific. We are clearly seeing over the year a progress. The retail sales, the sellout is improving. We are even growing double digit in China. We are improving our figures in the U.S., growing high single digits in Europe, but we are hit by 2 phenomenas, which are not hitting only La Prairie, and you've seen that in the course of our competitors. On the one hand, the U.S. department store environment is difficult with one key retailer being on Chapter 11. And in China, there was a change of travel retail operators of the 2 airports of Beijing and Shanghai Sunrise, which obviously has an impact on the volumes because they are -- they didn't buy in December and the new trade -- travel retail operators will buy more at the end of the quarter, beginning of Q2. So that has an impact on the selling figures of the Q1. And to give you -- to quantify that, it will be a double-digit loss, but hopefully, after looking at the good health of the sellout, we'll do a better job. On your question on NIVEA, the recalibration in fact, is clearly taking place in September. It started by the launch of the Derma Control deodorants together with Epicelline. And then it's coming with new launches, new initiatives, which will hit the shelves starting in Q2, but more surely in H2. When you look at the launches we did in the last quarter, we are very happy with Epicelline. Epicelline is -- we said that already, but it's by far the best ever launch of NIVEA in face care. We went immediately to a position of being the #1 serum in Europe, very, very important launch for us. We have seen the sell-in. We have seen the sellout. We are just waiting for repurchase rate. But as you know, we know pretty well the formula, because it's very close to what we launched in -- on Eucerin. Derma Control is starting well, it's a good figures in Europe. We are gaining market share in deodorants, which is something we didn't have since a long time. So we hope to see those 2 launches developing well in Q1 and Q2. And we have also a lot of other opportunities, other launches, other activities coming in the second quarter. So yes, we'll see clearly the digestion of the selling of Q4 into Q1 and this development of the sellout. And then we should enter into a more positive dynamics, having still in mind, and this is also one of the main reason of the guidance that we are working on the skin care market, which is at 1% growth. So that's also the big change versus what we had in the past years. We are clearly in a slowing market, and this is impacting, obviously, a brand like NIVEA, which is very large, which is in multiple categories. On your last question, Freedom, in a frame, this is the way we call it. You're absolutely right. In fact, when I took over as a CEO, I saw a NIVEA landscape, which was purely local. And it's not that it was working because we had a lot of small things in the countries, but none of them being really impactful. So I move it to a direction, which was a bit extreme, which was to globalize NIVEA. So it was successful, as I said, on franchises like LUMINOUS, Thiamidol and Epicelline, but it also was made at the expense of some strong local franchises. We mentioned Facial in Brazil, which used to be, in fact, the basis of NIVEA skin care in some key countries. So we are not only reassessing those local franchisees as key priorities and coming with new launches. But also, we are ensuring that the countries can play with them. It's about influencers, for example, it's about specific in-store activities. It's about also advertising campaigns. We'll have some global campaigns, but we'll have also some local campaigns in China, in Japan, in India, in Brazil, in the U.S. that we believe will be better at recruiting new consumers. So that's this rebalancing. We are not back to the history, but we are just rebalancing versus the globalization that took place since 2021.
Christopher Sheldon: The next one is Warren Ackerman of Barclays.
Warren Ackerman: It's Warren Ackerman here at Barclays. So one operational question and one strategic. The operational one is really -- can you maybe dive into Eastern Europe? I know it's been weak all year, but it really lurched down in Q4. I think it was down like 7% organically, well below consensus. So -- and I know you've talked about Poland and other places. But can you maybe kind of slightly deeper dive into what actually is going on in Eastern Europe? And is that one of the key reasons why the guide is so low for 2026? What is your expectation for Eastern Europe for this year? Are you seeing kind of delisting? Is it just big share losses? What's happening in Eastern Europe? And then the second one is strategic. I think on the wires, Vincent, you say that M&A is a top priority. I think the quote is we're looking at every skin care opportunity that comes to market. Just a bit surprised on that comment, given you're in the middle of a big repositioning of NIVEA, you've got soft skin care market to deal with. Is this the right time to be looking at deals, where you've got so much going on, on the base business and also when perhaps some of the results from Coppertone and Chantecaille haven't been the best. Just interested in the timing of that comment and what's behind it?
Vincent Warnery: Thank you so much. On your first question, yes, we had a difficult year in the Eastern Europe, and it used to be a growth driver for the Consumer division. First, the big thing is that the market went down from something that used to be 15% growth to flat 2%, 3%, which was, in fact, the results also of some consumer -- lack of consumer confidence. And the fact also that over the years, we all have now to increase prices due to increase of cost of goods. So there was clearly an issue of consumer confidence. We had also a specific issue in the fact that we're over-indexed in personal care in these markets. We are pretty small in skin care. We are more in personal care. And in deodorants, we were hit by a lack of new products, but also a lack of investment. And there is also a dynamic which is very interesting. There is a strong development of local brands. Korean brands, for example, which is obviously a challenge for us. So we have to come back with new products, new initiatives. We had also some difficult discussion with some retailers indeed. The good news is that we are back to very good discussions with retailers, and we have some good plans in place. We have also a lot of new launches, and I mentioned this affordable face care. This is one of the regions where we'll be clearly investing in affordable face care. And last but not least, we believe also that some of the activities we are putting in place, for example, influencers, will help us also regaining market share again, Korean brands. So it's not yet the light at the end of the tunnel, but we feel more positive about Eastern Europe than we were in 2025. On your second question, yes, we are looking at every acquisition. We are obviously looking at businesses that we could improve. This is why we will clearly not buy companies in places where we have no muscles, no know-how. We have to look at that. We have, as you know, a pretty small portfolio. We have also learned. We -- I think the M&A muscle has developed over time. We did a much better job with that Chantecaille than we did with Coppertone. Chantecaille is one of the big hopes of 2026. We fixed the basics. We have also a new team in place. So I believe we have a kind of knowledge or learning curve that is making us more able to integrate and to make good businesses. So when they will come, we look at them, we might make an offer. We might not make an offer because every time we look at really at the price, but we need to be clearly looking at opportunities because today, we have a portfolio which is much too small.
Christopher Sheldon: And the next question is from Joffrey Bellicha Meller of Bank of America.
Joffrey Meller: The first question is on the Chinese growth component in the fourth quarter. I was just wondering if you could explain a little bit more of the contribution from Thiamidol in the country and whether you had seen any cannibalization effects from your cross-border e-commerce sales previously. More importantly, I guess on China, thinking about 2026, you obviously have an easy base or an easy comp due to the rebalancing act you've performed last year. But I really wanted to understand whether you saw any legs to the growth that you saw in 4Q? And maybe I'll leave it at that on the Chinese piece. The second element that I wanted to ask, maybe this is more for Astrid, but with this affordable face care line that you want to launch, what will be the impact on mix for the gross margin in 2026? And also in the press release, in that regard, you mentioned that the NIVEA rebalancing was going to last into 2027 as well. So is there any way of guiding us or helping us understand where we could land in terms of margins on EBIT for 2027?
Vincent Warnery: Thank you, Joffrey. On China, I must say that we feel pretty positive. If you look at the different brands of the portfolio. I will start with La Prairie. La Prairie, we grew double digits, not only on e-commerce, but also on brick-and-mortar. We are gaining market share. So we are pretty positive about the development of China. And I think some of the new products we are launching in the coming months will make our business on La Prairie business even better. We have also the launch of Chantecaille, which started at the end of the year, which is pretty promising. It's more e-commerce than brick-and-mortar, but this is clearly an opportunity for us. And then there is a Thiamidol effect that we took us 12 years to get the registration of Thiamidol. We started to launch Thiamidol and Eucerin, and we are extremely, extremely happy with the results. Immediately, the serum, the anti-pigment serum became the #1 anti-pigment serum online in the market. And we are even the #2 anti-pigment brand online. So clearly, outstanding results on Eucerin. We are coming also with new products, the beauty of the Thiamidol story is that it comes with a lot of new SKUs. So I clearly believe that on Eucerin, we have found our way and China will become one of the top countries in the next future. On NIVEA, we started late. We started only at the end of the year in November, December. The figures are good. But I want to be not overpromising. We have still some work to do. As you remember, we are transforming a cheap offline personal care brand into premium online face care brand. It has obviously -- it is a stretch. We have some good launches. We have some good activities. But overall, I think we'll have a good quarter 1, and we'll have a good year on all the brands of Beiersdorf in China.
Astrid Hermann: And then your question on the affordable face care and the impact on mix as well as your question on EBIT. So look, the affordable face care line still tends to be accretive to our overall margin, especially also because the A&P spend behind it is not quite as strong as in our premium range, so it's still accretive. Additionally, we continue to believe that we will grow our Derma business quite strongly, which will have a positive impact on our margin and our mix. Of course, there is then the investment behind other lines such deo and body, which will partly offset that. We're looking to still have a slightly positive or a balanced impact on margin and on the mix. So let's see. In terms of 2027 EBIT, what we are saying for the midterm is that we look to continue to drive profitable growth. We are not at this time committing to a specific EBIT increase.
Christopher Sheldon: The next question is from Jeremy Fialko of HSBC.
Jeremy Fialko: Look, when we take the '26 guidance in aggregate, it obviously implies a worse performance for Consumer relative to 2026. So perhaps you could kind of give us a little bit more color from a sort of a brand standpoint, what you're expecting over the year? For example, do you think that NIVEA can grow in the year? Or is the repositioning and the work you need to do going to mean that it will be negative? And then I guess maybe the second question is if we can just go a little bit deeper down into some of the drivers of the growth that you'd expect to see from NIVEA? And what I'd be interested to hear your comments on the things such as the drag you're likely to see on Personal Care, and whether there's going to be any sort of negative pricing effect on NIVEA, if there are certain things that you need to reposition or whether you think that the brand volumes actually can be positive? So those are my 2 questions.
Vincent Warnery: Thank you so much, Jerry. On the guidance, we clearly have built the guidance on what we know and not what we hope. So when I look at what we know, we know that the skin care market has slowed down, used to be 7% last year. It's today more into the 1%, even negative in emerging market in volume. So that's something we have to take into account, which is particularly important when you deal with NIVEA. It is also confirmed by the performance of some competitors. You saw the #1 skin care company delivering close to 0% growth. So we know it's a difficult moment for skin care. That we know. The second thing we know, which is obvious, we know that Derma will continue to overperform. We are extremely optimistic with Derma. We have some big launches, and we mentioned and we'll talk about that later at the launch of Activia. We have also some big things coming at the end of the year. So more to come, but Derma is more than ever the growth engine that we know. We know also that I mentioned that, the effect of Sunrise and also the U.S. retail department store environment is causing us a big decrease in Q1. So obviously, we'll have to make it up in the next 9 months, which means that the performance of La Prairie won't be in line with the good performance we see in the sellout. And last but not least, something we don't know yet. We don't know yet when the recalibration of NIVEA will show its effect. We are happy to see that the January market share is positive. That's something we didn't experience since a long time. So that's a first very, very good sign. We know also that the new products are coming in the second semester that we are also having this activation of local franchises in the second quarter. So we will -- clearly, we are aiming at having a positive NIVEA in 2026. But clearly, the market dynamics will pay a role. The appeal of our new products and new advertising campaign will have a role, and this is something we'll monitor. And of course, we'll update you every quarter. On the second element, NIVEA Personal Care, it's a complicated environment because we have clearly a good proposal in Europe, and this is why we were happy to see some market share gain in Europe with the launch of Derma Control. So we are even in a pretty good position and #1 in many countries. It's a bit more difficult in emerging markets. We have clearly some markets which are collapsing, was the case of Brazil. We know also that we have to improve the value of our deliveries in the sense that we cannot increase prices, but we have to increase profitability in order to invest. So there is some value management to engage in. So we are working on that. We have not yet -- we have not yet found the perfect recipe for emerging markets, but this is clearly a priority. And also here, what is interesting, we have big, big local franchises in Latin America, in Thailand. So we will also leverage those franchises, which have a pretty strong appeal locally, and that will complement the global launches like Derma Control and the relaunch of Black & White. So we don't need to decrease prices. You have to remember that NIVEA is cheap. It's between EUR 2 and EUR 10. Only 2 products are more expensive. This is LUMINOUS serum and this is Epicelline. So we have a good price, but clearly, we have to find the good activities in the country to regain momentum.
Christopher Sheldon: So the next one is David Hayes of Jefferies.
David Hayes: So a couple for me. Just following up on the sort of volume mix pricing dynamics. Can you give us a sense of what the contributions will be across those 3 elements in that sort of flattish guide for 2026 in Consumer? And I may have missed it, but can you give us that for retrospectively 2025? And then secondly, on the margin reconciliation. Is there kind of an accelerated cost save intention program within the margin guidance? I'm just trying to reconcile the moving parts again, given marketing spend seems to be at least equal, you've got this FX headwind dynamic. I'm just trying to understand what the offsets are to that, that the margin would still be relatively flat. And maybe on the FX, 50 basis point headwind last year. Is it possible given where we are today on rates, et cetera, to give a sense of the quantum of the FX headwind in 2026 as it stands?
Vincent Warnery: I think Astrid will take both questions.
Astrid Hermann: In terms of this year's growth, 2026, we do see primarily volume growth from what we are expecting at the moment, much, much less pricing growth, as we've already seen. Again, from a mix perspective, we do see a balance where we continue to drive certain parts of our business, particularly Derma, but also face care and so on, that should be accretive to our margins. And then we will see, obviously, and hopefully acceleration of our deo business, which will be partly offsetting, but hopefully really contributing to that volume growth. In terms of, I'll call it, cost discipline, I think we have worked the last years and plan to continue to do that, to really ensure that in the end, when we're thinking about our overheads, we invest in the strategic areas of our business, but then look to continue to keep all other costs really under control and even reduce. You would have seen that we've made some progress there. And yes, FX headwinds has obviously been quite significant in the last year. We have had some help, obviously, from what we've hedged into the new year. That's a bit less, unfortunately, of an impact. We do see that negative on our results. Let's see where it ends up being. It's really very uncertain right now to really give you a precise number. We will monitor that and make sure that obviously, we find ways to offset the impact there.
Christopher Sheldon: The next one is Guillaume Delmas of UBS.
Guillaume Gerard Delmas: Two questions for me, please. One on NIVEA and one on La Prairie. On NIVEA first and the innovation program for 2026. I think at the same time last year, you were showing us that 47% of the brand would be launched or relaunched in 2025. So wondering how does 2026 compare to that 47% level of 2025? Should we expect a similar magnitude or even a further step up? And still on the innovation topics for NIVEA, I mean you announced this morning, you're launching -- you will be launching accessible face care propositions. At the same time, you've also introduced very premium products such as Epicelline. So how do you ensure that you do not overstretch too much the NIVEA brand? And then my second question on La Prairie. I mean, brand had an encouraging end to '25. But yet, if I look at the annual turnover of La Prairie, it's now nearly 30% smaller than what it was in 2022. So you indicated the Q1 softness, but where does the brand go from here? I mean do you think it needs some adjustments to its strategy? Or you're confident that it will be back to positive growth territory in 2026? And that you can go back to the 2022 sales level in not-too-distant future?
Vincent Warnery: Thank you, Guillaume, for your question. On your first question, you're right, we had planned to do, 40% of our portfolio is supposed to be relaunched, was relaunched in 2025. It is true also that most of the relaunches were based on some sustainability changes. So it was not really visible in some cases by consumers. So we will -- and we have also made some changes that was what required a lot of investment and did not really deliver additional sellout. So 2026 will be a bit wiser in terms of relaunches. We have some launches and they will be hitting the shelf in Q2 and Q3 mostly. And in terms of relaunches, will come really when we come with a true added value. For example, we are relaunching Black & White deo with a bit formula. We're also launching our sun care line. So clearly, choosing the areas where R&D can provide a visible benefit to consumers, and we'll do that in the, as I said, mostly from April. On the -- your question on accessible face care and premium face care is absolutely right. But I would say there are 3 cases. And there are the cases where we can do both. I think Europe is obvious. We have a brand, which is so large and so wide that it is not a problem, and you just have to visit a store to have LUMINOUS and Epicelline around EUR 20 and have an accessible Q10 at EUR 10 and Essential at EUR 2. So we have to find a way to support both. Most of them -- some of them are media-driven, other are more promotional-driven, some of them are influencer-driven. So we'll be able to do that. In emerging markets, it's a bit different. There are countries, for example, I was mentioning Brazil, where we are not launching Epicelline because we believe that the consumer price of Epicelline is too high, then here in Brazil, the focus will be clearly facial will come with new innovation in the second semester and also a big launch in 2027. So facial will be the absolute priority for the skin care business, the face care business of Brazil. And other emerging market where we will privilege on the contrary, the premium face care offer, but using some specific elements. For example, you might have seen the pictures. We are launching LUMINOUS in Thailand, in a sachet. So we have the most premium of NIVEA, this is Thiamidol, but we use also the right way to each consumer and to be sure that consumers are purchasing the LUMINOUS in their stores. On your question about La Prairie, you're absolutely right in your statement. I think the new strategy that we are putting in place is starting to pay off. And again, if I eliminate this one-off effect of our Q1, it's about coming with a more affordable proposal. And when I talk affordable, this is obviously something which is more around EUR 300. We tried that already with some smaller sizes of existing franchises and Skin Caviar, for example. We are coming soon with a new franchise, which will be priced between EUR 150 and EUR 300, which will allow us to convince to recruit younger consumers, which obviously could be a bit reluctant, putting EUR 1,000 in a cream of La Prairie. The second element where we are clearly accelerating e-commerce. We are already pretty good in China. I was mentioning the successive double-digit growth that we have since 5 years in e-commerce, Tmall, JD, and TikTok, but we are also becoming much more ambitious in the rest of the world. We are launching next month, for example, La Prairie on Amazon in the U.S. That's something which is a premier, and we are working with Amazon to be sure that the equity of the brand will be respected. We have other plans also like that, which we lose to be more accessible, especially in the world where you see clearly that department stores are losing ground and the e-commerce is taking over. So the strategy is starting to work. Again, China is a good example. Much more to do. So hopefully, again, after this hiccup of the Q1, we should see some good things happening on La Prairie.
Christopher Sheldon: The next one is Olivier Nicolai of Goldman Sachs.
Jean-Olivier Nicolai: First question is on Germany specifically. One of your competitors launched a Mixa brand. Do you see any impact for core NIVEA there? And how you're planning to protect your market share?
Vincent Warnery: Yes, Mixa is a brand which has been launched in Europe and starting in Germany. So obviously, aiming at taking over market share from NIVEA. This is a partly strong in body and not present in other categories. I mean, they are part of the competition, the way CeraVe was a competitor also in the past. We have a good formula. We have also good activities. If you were in Germany, Olivier, you will see today this week, a big campaign on the NIVEA cream Vegan. We're adding a new SKU to NIVEA cream, the historical iconic NIVEA cream also to gain some shelf and to gain also new users, and it's working very well. So we'll treat Mixa as a normal competitors and forcing us to be even better on body and on NIVEA cream, but so far, so good. We are growing on body.
Christopher Sheldon: And the next one is Karel Zoete of Kepler Cheuvreux.
Karel Zoete: Question with regards to the margin. You look back to the last 5 years, and we see good progress from both top line and bottom line. But if we go back to 10 years, you had a business with a 15% operating margin in Consumer. Today, you're almost 50% larger on the top line. So I was just wondering why is there not more operational leverage in your business given the scale you've added during that period of time? And good gross margins. So that's the first question. And the second question is really quite straightforward, given where FX sits today, your expectations on EBIT, would you expect EPS growth in 2026?
Vincent Warnery: Astrid?
Astrid Hermann: Yes. So look, in terms of our progress, we have showed even some in our presentation this time around. We have made really nice progress in the last few years. In terms of your answer where we are versus the time when it was similar or even higher. During the time, the margin was primarily achieved through really cutting advertising spending to drive profitability, while a lot of investments in the business, e-commerce, digital and so on were not made. We have since, as you know, back at a few years back, really kind of done a margin reset to really invest in those businesses. But then with the investments in those businesses drive the right kind of growth that will allow us to hopefully scale much, much faster in the future. And we've made that progress. As you see, we have really caught up on e-commerce. We're doing very well there. We're really digital in terms of our advertising. We're trying to be where the market is and really compete there. We've significantly invested in our innovation in our white spaces. So we're really putting the money to good use to then drive longer-term growth. Yes, this last year has been a bit of a hiccup, also driven by the markets, but we do think for the future, we have that opportunity with these investments to continue to drive profitable growth. And then in terms of your question, look, we are at this moment, given also the uncertainty giving this guidance of slightly below prior year in terms of EBIT. We will stay with that right now to allow us that flexibility but hope throughout the year, we can provide more color on that figure.
Christopher Sheldon: And then the next one is Fon Udomsilpa from RBC.
Wassachon Fon Udomsilpa: Two from me, please, on market share and pricing. So first one, you already provide a lot of color around market share performance by region, but could you also comment on the performance for the whole Consumer business through 2025 following the launches in Q4, how has that trend compared to the beginning of the year? Any number you could give would be helpful. And another one on NIVEA pricing, sorry. So in preparation for the strategy to broaden price range for the portfolio, could you help us think where do you see the current price positioning of NIVEA? Any part of the portfolio you think maybe the brand is not as price competitive yet or any part of the portfolio that you see higher competition?
Vincent Warnery: On the market share, overall, we gained market share in a very strong way in Derma. In Derma, we are overperforming the market by a factor of 3. So gaining market share in absolutely every country, on absolutely every category. It's not only the case of anti-pigment. It's also the case of anti-age. We became, for example, #1 anti-age brand emerging market, and we were already #1 in anti-pigment. So clearly, sun care gaining market share every year in every country. So clearly, Derma, we are really in this dynamic since 5 years, and we believe that it will continue. On NIVEA, we are not gaining market share, and this is why I was happy to mention that January '26 is positive after a number of months without positive gain. We're not really losing market share against the big guys. We are losing market share against local brands and indie brands, so which is forcing us to react, hence, the localization in some real, hence the use of influencers. But overall, this is one of the priority. I clearly would like NIVEA to regain market share and to be back into this positive dynamics. On La Prairie, different profiles. Overall, we are gaining slightly market share. But clearly, where we overperform in China. China, we are gaining packet share in brick-and-mortar and e-commerce. In the U.S., we are getting better and better quarter after quarter. So in the last quarter, we were at parity with the market, knowing that the U.S. is a bit specific. We are only sold in the department store, and we are also a bit victims of the disaffection of department stores. So overall, okay, and some good also news in some European countries. And last but not least, Health Care, we are gaining market share every year since 9 years, overperforming the market. This is an extremely strong brand, also very profitable. So very happy to see that. So in total, as I said, we are a business -- skin care business, which grew 3.7%. The skin care market grew 1.5%, 2%. So we gained market share in 2025 as a company in skin care. On your second question, I think, as I mentioned, the price positioning of NIVEA, we are an 85% of the range is between EUR 2 and EUR 10. So we don't have an issue of price. We did have some issue of pricing with our LUMINOUS range in emerging markets. This is why we decided to change the packaging of LUMINOUS in order to be able to price down LUMINOUS but still being profitable. That's the change we have done. So we don't have the same packaging LUMINOUS versus Europe versus emerging market. We have also reworked to know the formula to be sure we would be affordable in India. If you remember, I presented the case, and we moved from dispenser to a tube in order to have the same gross margin, but to have a product which is acceptable. And we just did the same with the sachet in Thailand, also to have the right offer while not deteriorating the gross margin. So we are no -- we don't want to decrease prices. We are coming with a moderate price increase and even no price increase in some cases. But clearly, we believe today that we have the right setup for our brands, and this is how we believe we're going to be able to regain momentum.
Christopher Sheldon: So we'll have 2 more. We'll start with Bernadette Hogg of Reuters, and we'll have Mikheil afterwards. So Bernadette, please go ahead.
Bernadette Hogg: So my first question was, are you thinking of joining some of your peers and asking for paid U.S. tariffs back now that the Supreme Court has judged them to be illegal. And at the 9 months results, you mentioned the skinimalism trend. Is that something you see continuing through 2026? And how do you think about positioning yourselves within trends like that?
Vincent Warnery: We didn't get the second question.
Astrid Hermann: What sort of trends are you speaking about?
Bernadette Hogg: Skinimalism. You talked about that 9 month...
Vincent Warnery: Absolutely. Skinimalism. On the first question, no, we are not planning to be part of the company suing the U.S. government simply because we are not really hit by the tariffs. As you might remember, we have -- 90% of our products are either products produced in Mexico where we have the U.S. MCA agreement. So we are not -- there's no additional tax and the rest is produced in the U.S. So the part which is produced in Europe is a very small part of the Eucerin range. So we are not planning to be part of this movement. On the second element, yes, absolutely. The skinimalism is something which is very important. We see that in all categories. We see that in derma, we see that in luxury, we see that in the -- on mass market. It's about having the right ingredients, it's having the right offer. So we are -- one of the things also we are recalibrating, We used to be very obsessed by our own ingredients and Thiamidol, Epicelline. We are coming also with other ingredients, which are well-known, could be vitamin C, could be niacinamide in order to be sure that we are able to offer in one product, an even better, an even stronger performance by mixing ingredients. We are also working on some specific products, which are combining the skin effect of, for example, moisturizer and a cream. So all of that is underway. And we believe also that our brands are pretty well positioned. If you look at Eucerin, this is a problem solution brand. So exactly spot on with the trend. And if you look at NIVEA, we are used also to convince women which are using a small routine, for example, Germany, but also a very large routine, like in China, Korea or Japan. So we are equipped for that, and we leverage this trend.
Christopher Sheldon: Next one is Mikheil Omanadze of BNP Paribas.
Mikheil Omanadze: I have one, please. Based on what you hear in the market, what actions are your major competitors taking to remedy this skin and personal care slowdown? And are any of your large retailer partners pushing for price reductions, which may suggest maybe more material pricing pressure in mass skin and personal care that is factored into your full year guidance?
Vincent Warnery: Great question. The slowdown we -- it happened already. I was looking at the history, in 2013, skin care market minus 2%, 14% plus 2%, 15% plus 14%. If you look again 2018, plus 3% the year after, plus 9%. So it's something it's cycle. At the end of the day, the skin care market remains the most strategic market. The way our traditional competitors are acting is coming with new innovations. We were lucky to be really the one bringing all the top innovation in skin care. As I said in my introduction, a lot of people are talking longevity. We have launched Epicelline already 1 year ago. So this is the way you drive market up. We are in a business, which is offer driven, and which is not really demand-driven. So if we come with a nice proposal, if we come with a new formula, this is a way we attract new consumers. We convince them to buy our products. Are other players doing another game? Yes, of course, if you look at the local brands, if you look at the indie brands, it's about cheaper prices. It's about very well-known ingredients. It's about influencers only. And the good news in a way that it goes up and down. And at the end, the big brands are back, and this is where the consumers come back when they want to have a safe formula when they want to have a safe ingredients. And this is also why we feel that the market dynamics will come back. I mean one good example I could mention, if you look at Derma, we are delivering a double-digit growth every year since 5 years, despite the fact that the market went down to low single-digit growth in 2025. The market is what you bring to the market, and we are pretty well equipped in skin care with the Beiersdorf R&D muscle.
Mikheil Omanadze: Sorry, on pricing potential?
Vincent Warnery: No. Pricing honestly, when you look at competition, we don't see any actions, which I think will damage the market. We are doing promotion in mass market. That's true for everybody. No big issue on this front.
Christopher Sheldon: Thank you. That was our last question. This concludes our full year results conference. Beiersdorf's next Investor release event will be the release of our first quarter results on April 21, 2026. We appreciate your interest in Beiersdorf and look forward to seeing you here again in April. Thank you very much.